Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Alamo Group’s Fourth Quarter 2013 Earnings and 2013 Fiscal Year and Conference Call. During today’s presentation, all participants will be in a listen-only mode. Following the presentation the conference will be open for questions. (Operator Instructions) This conference is being recorded today, Friday, March 7, 2014. I would now like to turn the conference over to Mr. Bob George, Vice President of Alamo Group. Please go ahead.
Bob George: Thank you. By now you should have all received the copy of the press release. However, if anyone is missing a copy and would like to receive one, please contact us at (212) 827-3746 and we will send you a release and make sure you’re on the company’s distribution list. There will be a replay of the call, which will begin one hour after the call and run for one week. The replay can be accessed by dialing (1800) 406-7325 with the passcode 4671283. Additionally, the call is being webcast on the company’s website at www.alamo-group.com and a replay will be available for 60 days. On the line with me today are Ronald Robinson, Chief Executive Officer and President; Dan Malone, Executive Vice President and Chief Financial Officer; and Richard Wehrle, Vice President and Corporate Controller. Management will make some opening remarks and we will open up the line for your questions. Before turning the call over to Ron, I’d like to make a few comments about forward-looking statements. We will be making forward-looking statements today that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risk and uncertainties, which may cause the company’s actual results in future periods to differ materially from forecasted results, among those factors which could cause actual results to differ materially are the following, market demand, competition, weather, seasonality, currency related issues, and other risk factors listed from time to time in the company’s SEC reports. The company does not undertake any obligation to update the information contained herein, which speaks only as of this date. I would now like to introduce Ron. Ron, please go ahead.
Ronald Robinson: Thank you, Bob. We want to thank everyone for joining us today. We are going to start the call with Dan Malone doing a review of our financial results for the fourth quarter and the year ending 2013, and then I will provide a little more detail and tell around the performance and outlook of our company, and following the remarks, we will open it up to some questions. So, Dan, please go ahead.
Dan Malone: Thank you, Ron. Alamo Group’s 2013 sales and net income were record for the company. Sales for the fourth quarter were $165.6 million, an increase of 11% over the prior year fourth quarter. Net income for the quarter was $6 million or $0.49 per diluted share, that’s an increase of -- over the fourth quarter of 2012 of 43%. Excluding prior year goodwill impairment charge from this comparison, fourth quarter 2013 EPS is still 23% better than the adjusted prior year results. For the full year 2013, sales increased to $676.8 million, which is 8% better than 2012 sales of $628.4 million. Fully diluted 2013 EPS was $2.96, an increase of 23% over prior year. In Alamo's Industrial Division, fourth quarter sales of $77.8 million, represent a 17% increase compared to prior year. For the full year, sales in this division were 13% above the prior year results. Agricultural Division sales were $47.3 million in the fourth quarter, an increase of 5% over prior year. For the full year, sales in this division were $215.3 million, an increase of 7% compared to 2012. European Division fourth quarter sales were $40.6 million, an improvement of 7% over the prior year. For the full year, sales in this division were up slightly over the 2012 result. During the fourth quarter and throughout 2013, the company's gross margin has improved both in total dollars and as a percent of sales as higher outage volume has contributed to significant productivity improvements in our manufacturing facilities. These improvements have occurred despite an unfavorable sales mix compared to prior year as we recorded double-digit increases in lower margin tractor and chassis sales, while sales of high-margin replacement parts decreased as a percentage of total sales. In the fourth quarter, SG&A expense increased over prior year levels, primarily due to the legal fees incurred related to the successful defense of a patent infringement lawsuit. For the full year, SG&A increased over prior year levels due to the legal expenses mentioned before as well as higher acquisition expenses, commissions paid on higher sales, earnings based incentive compensation accruals, an increase in stock option expense due to the vesting of stock option awards to retirement eligible employees and the filling of several Senior Management positions and restructuring cost in our French operations. Also in the fourth quarter, other income and expense continued to run favorable to prior year, mostly due to additional recognition of government grants we received in the U.K. for R&D, training and employment. Alamo Group finished 2013 with cash net of debt totaling $63.5 million, of which $44.9 million was held by its foreign subsidiaries. The company saw further improvement in inventory turnover in 2013 as inventories finished the year at about the same level as 2012, despite double-digit increases in both sales and cost of goods sold in 2013. Capital expenditures for 2013 totaled $13.6 million compared to $4.7 million for 2012. The increase in 2013 was primarily due to capacity expansion at the Bomford facility in the U.K., and the Schulte facility in Canada. In summary, it was another strong quarterly result for Alamo Group, demonstrating the company’s continued success in achieving continuous operational improvement, one of the cornerstones of Alamo’s integrated strategy for growth. I would now like to turn the call back over to Ron.
Ronald Robinson: Thank you, Dan. I would just make a few brief comments. I think Dan covered most of the points I think of significance for the quarter. It was a good quarter and it was a good year. And we are pleased with the progress we made in the year. I mean, it was a year of organic growth -- with no acquisitions in the year and so the total growth was our organic growth. And we have, I think 8% organic growth in kind of a challenging market, especially in the -- with the European side being very weak in the first half of the year. They did start to show some improvement in the second half of the year. But then even more pleasing to take 8% growth and say it was intended into 20 some percent growth in earnings. So, I think that very much as we have focused on margins, focused on our operating efficiencies, focused on asset management, I think all this has helped this. Probably, the one thing in the -- during the year, especially in the fourth quarter was legal fees were quite high and I think much higher than we anticipated it will be, especially in the fourth quarter. But we were working on major acquisitions and even though the Bandit one did not -- was called off during the quarter. We’re very pleased that we’d already been working on the specialized one which was recently announced and very pleased that that one is proceeding nicely but main thing we’re waiting on now is -- the only thing we’re waiting on now is Hart-Scott-Rodino antitrust review which that has been filed and the main thing we’re waiting, the only thing we’re waiting for to get that opportunity closed. And then we mentioned that there was a patent infringement lawsuit that actually -- it has been going on against several parties for like five years but we only got joined into it literally in the first part of 2013. And so we had to play catch up and then the trial was actually in the fourth quarter which was -- as those cases can be very expensive but we’re pleased that it was a very strong verdict in our favor that not only was an old infringement, I mean, probably that the patent was no good to begin with. So I’d say that was that, which was very expensive and I think the quarter could have even been much stronger. Excluding that, we feel that I’d say all-in-all that was a pretty good year and we were really glad to see Europe starting to show some improvement. And moving into the first quarter, I mean, I’m a little concerned. Certainly, weather has been terrible. In the first quarter, winter has been very severe but it’s been a lot of -- this has caused delays with our customers. It also caused some delays with us because I mean, we’ve actually had lost working days in several of our plants due to shutdowns, due to ice storm and snowstorm and weather, when we were not able to open some of our plants on a couple of days. So I think the first -- that's off to a slow start. We’re also concerned. I mean, lot of our customers were spending a lot of money on snow removal which was just helping us a little bit but we hope it doesn’t take away from their mowing budgets later on during the year and other sweeping budgets and the other kind of products which we provide for the infrastructure maintenance with governmental. So I think, we’re, like I’d say, the first quarter is off to a little bit slower start but we’re pleased that Europe is still showing some progress, even looks like going ahead and ag is a little bit of -- we know leave ag incomes would probably be down a little bit this year but down from record levels and commodity prices are down, farm incomes will probably be down but I think those still be at a healthy levels. So we think we’ll do okay but it will be nice when the winter stops and the farmers can start getting into the field and then we’ll see more exactly how the year will start to unfold. So I mean, I think we feel very good about where Alamo is today, very good about the -- our product mix, let’s see like I said Europe is improving. We’re very excited about the specialized addition to us and that we think of the two main things they have are the snow removal and back in trucks both of which are very complementary to our existing offering in those same areas. So I think very synergistic opportunity with specialized. We are anxious to get it closed and start bringing into ours. We think they will be -- that will be certainly accretive to Alamo and what we’re doing going forward. So we like that. Like to say we’d like to see that these are the year, we’ll start to shape up especially after the first quarter but I think we feel very good about where we’re in our products and that we can build on the progress we made last year. So that’s really -- my only formal comments at this point but we would be glad to open it up to questions. And operator, you can please go ahead if there are any. Hello?
Operator: (Operator Instructions) Thank you. The first question comes from Robert Kosowsky from Sidoti. Please go ahead.
Robert Kosowsky - Sidoti: Good morning guys, how are you doing?
Ronald Robinson : Doing well, Rob.
Robert Kosowsky - Sidoti: Just wondering on the turning in the sense of the sustainability of the growth that we saw in industrial, obviously it’s a very 30% which is a good number in 2013. And absent weather conditions, which I understand as a negative factor, just trying to understand the quality growth that you saw whether some large orders that came in. Was it just one particular line versus another and kind of how you see the growth outlook for this municipal side of the market over the next couple of years?
Ronald Robinson: Yeah. I mean, we don’t usually give a lot of detail within but the one, I think a couple of things that I can say is that there were couple of large orders but it’s like every year. I mean, other than maybe in like old nine or ten, we’re always seem to have one or two large orders. I think that it’s interesting the mowers, second part of that, had been in like ‘11 and ‘12 have been very stretch on nice growth. This year, I mean very nice growth and led the way. This year ‘13, 2013, it was nice to see that while their growth wasn’t quite as strong, coming of some like say it was steady growth but not a strong as maybe it had been in the last couple of years. It was good to see that some of the other products did show some good improvement. It’s actually some of the bigger ticket items that it sort of lagged a little bit. And so I mean, I think, the growth this year was in that division particularly was broader among all of our products not just simply mower products. So I thought that was a good sign. Yeah, I think, so I think it is sustainable but I mean that’s not to say that, in fact won’t be, can’t be affected by weather, can’t be affected by changing economic conditions. So I mean, I feel good about where they are, feel good that we continue to make some progress there but we still have to do with whatever market conditions that do arrives.
Robert Kosowsky - Sidoti: Okay. And then, do you still think there is -- or do you believe that there is pent-up demand on the street sweeper and vacuum trucks side, just some color on bigger ticket items that might not come as faster as mowers?
Ronald Robinson: Yeah. I definitely do. I mean, I still think like, we know sales in those divisions are not back to where they were in units, back in the sort of the 2007, 2008 time period. So our unit sales have been down from then and are still down from then. So, I think that there is some pent-up demand and there is some potential for some continued growth in those sectors.
Robert Kosowsky - Sidoti: Okay. And then, obviously the cost structure, you had very good operating leverage at the gross margin line this year. Was there anything that really was a tailwind for that, or is this just kind of a 30% incremental margin, or simply, you’ve done in the past couples of year so, is that the good way to think about the business going forward?
Ronald Robinson: Yeah. I mean, there was no one thing special. In fact, there was, like I said, we had two major expansions going on during the year. And usually, you take a step backwards on margins during plant expansion, just because the disruption of doing it. But I thought that we handled those situations well and I think we will benefit from the results of those expansions in 2014 and in the next couple of years. So, I think I feel relatively good about the margin improvement we had. And even like, probably one little concern -- I mean, spare parts will probably not as strong last year as we had hoped. And so, I think that’s in a time when all good sales are going up like they were, I mean, spare parts sales typically lag a little bit as percent of sales. And so -- but I mean, like I say, that was another headwind, it was actually our mix was slightly unfavorable to the previous year. So even if the couple of things like that happen, I think we feel we will make some solid progress on our operating efficiencies.
Robert Kosowsky - Sidoti: All right. Cool. And then, are those two capacity expansion, are they done and do you have anything on the [dockyard] for 2013 or 2014 outside of the acquisitions?
Ronald Robinson: Nothing, the buildings are done. We’re still reorganizing internally. I mean, once the expansion is done and you get move stuff into it and then you will redo where you’ve just moved out other than move something into that. I mean, we’re, kind of, in that shuffle phase. But buildings are done and so I mean, I think CapEx still be at little bit higher this year than it was say two or three years ago. But it should be back to more like normal levels, sort of, just below depreciation. But it will probably be the second half of the year before we fully be experienced that the efficiencies of the new expansions.
Robert Kosowsky - Sidoti: Okay. And then finally, what tax rate assumptions you maybe using for next year? Can you answer that Dan?
Ronald Robinson: 32% to 34%.
Robert Kosowsky - Sidoti: 32% to 34%.
Ronald Robinson: Yeah 32% to 34%.
Robert Kosowsky - Sidoti: Okay.
Ronald Robinson: Actually very little on where the income comes from.
Robert Kosowsky - Sidoti: All right. Thank you very much.
Dan Malone: Thank you. Other questions?
Operator: Thank you. Thank you, sir. The next question comes from Brent Rystrom from the Company of Feltl. Please go ahead.
Brent Rystrom - Feltl: Good morning.
Ronald Robinson: Good morning Brent.
Brent Rystrom - Feltl: Just couple of quick questions, what products were represented by the planned expansions. What areas were you spending?
Ronald Robinson: In the U.K. which was the biggest part of that, it was our Bomford and Spearhead and Twose products. I mean, those -- I mean in the last 10 years, we’ve done -- that started out at the Bomford plant and then did two acquisitions that we merged into that plant. It was, I mean, that’s probably should have overloaded the plant but it’s mainly ag product. It’s heavily mowers but also some harrows and a few other pieces of equipment. But like I said its U.K. related even though they export a fair bit from there. But it was mainly ag products and then in Canada, the expansion at Schulte was our Schulte products which again are heavily mower products, some other few implements like rock pickers, some ag related snow throwers, this type stuff. But it was our Schulte products and that operation is continuously growing for us. It’s heavily ag. I mean, some governmental own mowers, some of the bigger mowers with governmentals but like I’d say heavily ag and -- but all everything they are sold under the Schulte brand.
Brent Rystrom - Feltl: All right. And from a simple -- simplistic perspective, the snow product for farmer ag app, is that primarily like a PTO drive snow blowers?
Ronald Robinson: Yes, the Schulte ones are PTO driven snow throwers easily sold to farmers, so like they can get to the speed lots into his barns during heavy snows and winter condition. So that was -- I mean the products we sell under the Henke and Tenco brand name are in our industrial group and over governmental in highway and airport applications, but the Schulte snow blowers are mainly for ag applications.
Brent Rystrom - Feltl: All right. And then as a follow-up to the previous caller, CapEx 2014 yet dollar amount that you would kind of like to target?
Ronald Robinson: Well, like I said, it would be -- it should be a little bit below depreciation and -- but higher than the levels, I mean you know like for -- and like 10, 11, I mean we’re running less than half of depreciation. This year, we ran about like well depreciation look about 11 than we’re in about 14 million. Next year we ought to be backed down below the 19 range.
Brent Rystrom - Feltl: Okay. Can you qualify for me how much of the OpEx [what kind of noise], so the litigation related to the expenses were X, other one-time or bunch of show expenses for this marketing of ag?
Ronald Robinson: Well, we did spell out in the press release what the litigation expenses were, I mean legal expenses on acquisitions were certainly higher than usual but not that much higher, because we’re looking and working on acquisition. So I wouldn’t say this year it’s going to be down because, I mean, we’re looking the same thing. I had a lot this year as well.
Brent Rystrom - Feltl: So maybe you had a couple 100,000 (inaudible), the legal expense?
Ronald Robinson: For the fourth quarter.
Brent Rystrom - Feltl: Yeah.
Ronald Robinson: Well, we said add.
Brent Rystrom - Feltl: What you’ve seen in addition to the legal expenses, the other kind of unusual one-time major type expenses, were they another couple $100 million?
Ronald Robinson: Well, I guess, we deal like, we don’t break that out and I would say that’s unreasonable, but we really don’t separate that out because we think it’s mostly more ordinary and like I say it may be a little higher than usual, but it’s short in the ordinary range.
Brent Rystrom - Feltl: Good. Couple of -- last question then, are you seeing in your forage business, so your mowers, possibly your hay products, are you seeing any improving sales cycle with high dairy prices?
Ronald Robinson: I think it’s been too early to tell at this point.
Brent Rystrom - Feltl: Okay.
Ronald Robinson: And so we haven’t seen any bank, I mean I think most -- a lot of our sales with this are sort of dealer pre-season orders and it’s sort of restocking inventory more so than reacting to customer conditions at this point.
Brent Rystrom - Feltl: And then somebody relatively new to the cycle to last time to that Alamo Group story, how do you guys look at El Nino, is the El Nino which looks to kind of be -- if you look at the pacific oscillation right now, it looks to be starting to heat up, how does El Nino impacted your North American and your European business in the past?
Ronald Robinson: It’s actually very little. You are right, I mean, in localized areas, it can have big effects, but, I think, when we kind of balance it over the whole country and overall North America, it seems that I think it has had a little bit less effect.
Brent Rystrom - Feltl: Okay. And final question then, from a person living in the Midwest, it’s been a long time since we’ve had a winter like this, probably over 10 years since we’ve had the level of snow ice, road issues, cold temperatures. In past cycles, how did that impact the following years purchases of snow removal equipments? And then also you had alluded to potential, maybe a little bit of risk this summer that may be some budget might have snuck into the snow business that might have gone elsewhere. Can you kind of walk me through in the past, what a harsh winter has meant for Alamo Group?
Ronald Robinson: Yes. I mean, certainly, and you know like I say we have been in snow removal for about five or six years, or I mean, we haven’t been through as many different cycles. But usually what we have seen, you’re exactly right, it’s the right, the winter that it happens, you don’t, it doesn’t affect whole goods a lot, because it’s -- but it’s the next winter that I think there is a good start usually to the next winter because then people having the replacement equipment but after the season starts its hard for them to get much equipment like if you order January and in terms of March...
Brent Rystrom - Feltl: Yes. We see -- difference we have seen that I just seen in improving order book for…
Ronald Robinson: Yeah. Well, I think, its too, like I say, I think people are just still dealing with the issues, they haven’t started ordering for next winter yet, I think they are just, spare parts are obviously good in the season and I think that is help. But, I think, it’s going to be sort of the second quarter before we really see, start of the season reordering for next winter. I think and I won’t say it affects the people’s budget a lot, but I mean like you said this is one of the more and more extreme winters, so I think it will have some effect. The other thing is, we tend to, I think we have seen, it doesn’t necessarily hurt like the second or third quarters as much as, you don’t really catch up which we lost in the first quarter.
Brent Rystrom - Feltl: All right. Fair enough, I appreciate it. Very nice.
Ronald Robinson: Yeah.
Brent Rystrom - Feltl: Thanks.
Ronald Robinson: Thank you.
Operator: (Operator Instructions) The next question comes from Wayne Archambo from Monarch Partners. Please go ahead.
Wayne Archambo - Monarch Partners: Yes. Thank you. I missed the beginning of the call, I don’t know if you addressed this, but were you able to quantify the level of accretion from the specialized industry acquisition?
Ronald Robinson: No. We have not given out any numbers about that and we’ll certainly give our more color when the deal gets closed, but have not given out anything other than what’s in the press release at this time
Wayne Archambo - Monarch Partners: And do you know when that the deal will close?
Ronald Robinson: Well, as I said, I mean, the main thing we are waiting for now is to hear from The Hart-Scott-Rodino Antitrust that review that, we have filed the papers for that and we are awaiting, that's the main legal impediment to the closing and I mean, usually that takes about a month or so for the review and we will see what they say at that time. And but the closing should take place soon after that result.
Wayne Archambo - Monarch Partners: Okay. I mean, is it fair for us to assume an accretive deal, I assume, it’s not a dilutive deal?
Ronald Robinson: Yeah.
Wayne Archambo - Monarch Partners: … for depreciation.
Ronald Robinson: Yes. We definitely think that is an accretive deal.
Wayne Archambo - Monarch Partners: Okay. Then lastly, would you expect to do other deals in the next 12 months or these keep you tied up for a while?
Ronald Robinson: No, no. I mean, this is a specialized, very good operation, very well run, we don’t, I mean, there is always integration issues, but we -- it’s not like they are struggling or anything in any -- that’s going to require a lot of focus management attention, some of their markets are even better than ours and some of the key products. So, I think that, we believe it’s well run and we are still actively looking and revaluating other opportunities and we hope that there will be others and it’s not, that is not changing or delaying any of our outlook for acquisitions.
Wayne Archambo - Monarch Partners: Great. Very good. Thank you.
Ronald Robinson: Thank you.
Operator: Thank you. We have follow-up question from Mr. Robert Kosowsky from Sidoti. Please go ahead.
Robert Kosowsky - Sidoti: Yeah. Ron, I was wondering, if you could tell us, what part of Europe is doing better, are you seeing some growth the past couple of quarters and I am wondering it’s more on the ag side or the governmental side?
Ronald Robinson: A little of both, I mean, I think, right, the financial markets are opening up little bit more, I think, the farmers are doing pretty well. But and I think that the government, government spending on our type of equipment is continuing at a fairly stable level. I would say, Central to Northern Europe is probably holding up better than Southern Europe, especially for us. I mean, in particularly of our strong marketing have exactly done well. But France is -- France is certainly lagging and I think, that just, I think, if you read the papers, France is lagging Europe in general right now. I think, they have had a little bit more struggle with the, since like their President is always in the paper likely for the wrong for anything other than economic development.
Robert Kosowsky - Sidoti: Fair enough. And then, finally on specialized acquisition, where do you see the most value that you can add to these acquired asset, because in distribution, getting our product to more dealers, is it supply chain, is it cost structure, recognized these are pretty low run companies, like…
Ronald Robinson: Yeah. Like I said, they are pretty well run companies and so. There certainly is some tweaking in several of those areas, little bit on the distribution side, little bit on the procurement side, the supply chain side. We don’t, sometime these, we don’t see any necessarily consolidation short opportunities in the short-term but I mean over long-term, I mean, we probably, that’s our -- we would hope that there would be a little bit more opportunities for consolidation. But like I said, they are well run and in the short-term, we just want them to keep sort of doing what they are doing and then start tweaking little bit on the supply side, or little bit on the distribution side, some upgrading on manufacturing. But except at some places, they are doing better margins than we are. So, I think we can even run some of the things they are doing.
Robert Kosowsky - Sidoti: Okay. And then finally, how much are you going to be borrowing to do the deal and what interest rate and if you can, level of detail that you can provide?
Ronald Robinson: Well, as was indicated, I mean, well, we have a fair bit of cash, most of it’s outside the U.S. And so, I mean, we were probably going to lead that mostly where it is to support acquisitions in those areas. So, we will use some of our cash but not a lot of it in the deal. So, most of it will come from our new line of credit -- not our new line of credit, our expanded line of credit. But the borrowing terms under the line of credit are fairly similar. The terms and conditions are fairly similar to it. It’s just an amendment to our current deal and so there is a few tweaks to the metrics but not a lot.
Robert Kosowsky - Sidoti: Okay.
Ronald Robinson: Bob George is going to comment on it.
Bob George: Yeah, it was, Rob. Rob, we are going to be filing an 8-K after we close our amendment with the credit agreement. So, you will have all those details you are asking now in the very near term.
Robert Kosowsky - Sidoti: Okay. Thank you very much and good luck.
Ronald Robinson: Thank you.
Bob George: Thank you.
Operator: Thank you. There will be no further questions. Are there any further points you wish to raise?
Ronald Robinson: Yeah. Not from the company side of view, but we certainly appreciate everyone joining us today and look forward to speaking with you, when we have our first quarter conference call.
Operator: Thank you. Ladies and gentlemen, this concludes the Alamo Group’s fourth quarter 2013 earnings and 2013 fiscal year end conference call. Thank you for participating. You may now disconnect.